Operator: Greetings and welcome to the WW Grainger Third Quarter 2021 earnings conference, call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. If anyone should require Operator assistance during the conference, please press star 0 on your telephone keypad.  Please note that this conference is being recorded. I will now turn the conference over to our host, Irene Holman, Vice President of Investor Relations. Thank you. You may begin.
Irene Holman: Good morning. Welcoming to Grainger 's third quarter 2021 earnings call. With me are D.G. Macpherson, Chairman and CEO and Dee Merriwether, Senior Vice President and CFO. As a reminder, some of our comments today may include forward-looking statements. Actual results may differ materially due to various risks and uncertainties, including those detailed in our SEC filings. Reconciliations of any non-GAAP financial measures with their corresponding GAAP measures are found in the tables at the end of this presentation and in our Q3 earnings release, both of which are available on our IR website.  This morning's call will focus on adjusted results, which exclude restructuring and other items that are outlined in our earnings release. We will also share results related to MonotaRO. Please remember that MonotaRO is a public Company and follows Japanese GAAP, which just differs from U.S. GAAP, and is reported in our results, one month in arrears. As a result, the numbers disclosed today will differ somewhat from MonotaRO's public statements. With that, I'll turn it over to D.G.
D.G. Macpherson : Thanks, Irene. Good morning, and thank you for joining us. The Grainger Edge is a framework that defines who we are, why we exist, and where we're going while establishing a set of operating principles. I'm proud of the ways that we use the principles to guide decisions and deliver results. I want to start this quarter with a big thank you. Things are very challenging on many fronts.  Given the ongoing pandemic in labor and material shortages, nothing in the world seems to be working exactly the way it should. Our manufacturing partners, transportation partners, Grainger team members, and certainly our customers are all finding harder than ever to keep the world working. I want to thank all of them for their tremendous efforts. I also want to offer particular thank you to front line workers who continue to go above and beyond.  Grainger is proud to support the hospital staff, government agencies, teachers, and many others, who continue to do great work in a very challenging environment. I might say that in spite of these challenges, we performed very well, but in reality, it's partly because of how we're wired that Grainger is doing so well. We've seen strong demand this quarter, especially in the U.S.  We have product available in our network and have been able to ship it to customers quickly. Our service to customers has been exceptional given the circumstances. We're leveraging our scale, demonstrating our agility, and gaining share. Our goal is to always be in an advantaged position to help our customers solve their problems. As I've been out with customers this past quarter time and again, I hear that Grainger is executing well. Customers tell me that they are pleased with our performance and you can see this in our revenue growth.  While the current supply chain environment is volatile and uncertain, we are confident in our current plans and our readiness to respond to any evolving dynamics. In the face of labor and material shortages throughout the supply chain, we are providing strong relative service and helping our customers avoid disruptions. We continue to actively leverage our network, even if sometimes we have to get the orders from less optimal locations at a higher cost. We are investing in inventory, while actively monitoring the freight market in the West Coast ports.  And as it relates to labor, we have made great progress, including staffing gaps and training team members, which has resulted in improvements, especially in our DC operations. Our customer research shows that this is driving customer satisfaction. Turning to our financial highlights, demand in the quarter was robust, resulting in strong revenue and gross margin performance, and well-managed SG&A. We achieved organic daily sales growth of 11.9% for the total Company on a constant currency basis.  When compared to Q3, 2019, the quarter was up 17.3% on a daily organic basis, driven primarily by core non-pandemic product sales, which is a positive indicator of our underlying run-rate performance. Our High-Touch Solutions, North America segment grew 11.6% on a daily constant-currency basis. In the U.S., we drove approximately 100 basis points of share outgrowth versus the prior year, and 475 basis points on a two-year average.  We remain confident in our ability to grow 300 to 400 basis points faster than the market on an ongoing basis. Our service to customers, especially the last two years, has contributed to meaningful share gains. Our endless assortment segment finished the quarter with 14.9% daily sales growth on a constant currency basis. I'd like to note two things that temporarily moderated growth in this segment. First, Zoro lapped a very strong third quarter in 2020.  For context, we opened up pandemic product supply to Zoro customers in Q3 2020, that was previously reserved mostly for government and healthcare customers. In the third quarter of 2021, Zoro managed to drive 11.9% revenue growth. And when we compare that to Q3 2019, we're up 30.6%, which is really strong. Also, MonotaRO was impacted by several external factors, including a slow start to vaccinations and a generally slower Japanese economy.  In local days and local currency, sales were up about 17.5% compared to Q3, 2020. And MonotaRO continues to take share, especially as COVID restrictions lift, and we grow with our targeted enterprise customers. And as we look at results versus Q3 2019, MonotaRO 's sales are up over 37%. We feel that the comparison to 2019 for both businesses is more indicative of our underlying business strength.  We still expect the segment to close the year with growth at about 20% above prior year. We saw strong gross margin expansion across all segments even above our expectations that we discussed last quarter. High-Touch Solutions North America was up 140 basis points over Q3 of the prior year, and Endless Assortment was up 115 basis points. Dee will cover the drivers for both segments.  Last year we returned $327 million to shareholders through dividends and share repurchases in the third quarter, and we maintain strong return on invested capital of 31.4%. Turning to our quarterly results for the Company, I discussed most of what's on this slide, but I wanted to point out a few additional items. First, our SG&A was $812 million, right where we thought it would be. We continue to invest in marketing and labor primarily to increased variable compensation and great wage rates in the DCs.  And like many companies, we're also starting to see increased healthcare costs as team members return to routine medical visits and undergo deferred elective procedures. And while overall spending is up versus the prior year, we're still gaining significant leverage when compared to 2019. Our operating earnings were $438 million, up 17.4%, and our resulting EPS is $5.65 for the quarter, which is growth of 25%. Overall, this was a really strong quarter. With that, I'll turn it over to Dee to take us through more detail. Dee?
Dee Merriwether: Thanks, DG. Turning to our High-Touch Solutions segment, we continued to see a robust recovery with daily sales up 12% compared to the third quarter of 2020 and up 14.5% compared to the third quarter of 2019. In the U.S. we saw strong growth, especially in our core non-pandemic product categories. Both large and mid-sized customer saw significant growth at 10% and 19% respectively.  Canada continues to be slow as recurring shutdowns in many of the larger provinces had businesses closed or operating at minimal capacity. As vaccination rates improve and businesses reopen, we expect more typical purchasing behavior to resume and sales to follow. Canadian daily sales were up 11.7% or 5.7% in local days and local currency compared to the third quarter of 2020. For the High-Touch Solutions segment, GP margins finished the quarter at 39.4% up 140 basis points versus the prior year Third Quarter.  Our focus and diligence on managing price cost spread contributed to our GP improvement. In the quarter we saw strong price realization to customers, both on-contract and wet pricing. Our realization was better than anticipated, and as a result, price cost spread was above neutral. In addition, consistent with the Second Quarter, our U.S. pandemic product mix was about 22%, an improvement versus 28% in the Third Quarter of 2020.  We are confident that our run rate GP remains strong and we'll finish in line with the expectations we set forth for the Fourth Quarter. On slide 20, you will find a chart with details on the U.S. and Canadian businesses. This information has been provided to help bridge our prior reportable segments to our new High-Touch Solutions North America segment. I'd like to give you some advanced notice that we will continue to show daily sales and gross margin by business.  However, as our operating expenses across the segment have become more intertwined, our operating margin by geography, will no longer be provided in our 2022 reporting. On slide 9, taking a deeper dive into High-Touch Solutions for the U.S., the Delta variant and the renewed mass mandates in July reversed the declining trend we were seeing in the second quarter for pandemic products.  As the virus surged, we saw pandemic product demand pick back up, especially for mass. However, a particular note, our core non-pandemic sales growth was at or above 20% every month in the third quarter. We are encouraged to see this growth as a sign of more regular business and economic activities. When comparing core non-pandemic sales to Q3 2019, sales were up 12%, which is quite strong. In total, our U.S. High-Touch Solutions business is up 12% for the third quarter 2021, and up 16% as compared to 2019.  Looking at market outgrowth on Slide 10, in the third quarter as expected, we saw our share gain grow as we let more reasonable yet still inflated Q3 2020 comparisons. In the quarter, we estimated the U.S. market grew between 10.5% and 11.5% resulting in our estimated outgrowth of approximately 100 basis points versus Q3 2020. To normalize for volatility, we're continuing to show the two-year average share gain, which was about 475 basis points over the market for the third quarter of 2021, a really exceptional result.  Given the noise and fluctuations in the market number across industrials, the 2-year average is a better estimate of our true market outgrowth. We remain focused on our key initiatives, which give us confidence in our ability to achieve our U.S. share gain goal of growing 300 to 400 basis points faster than the market. Now let's cover our U.S. GP rate. We saw a significant lift in the High-Touch U.S. GP performance in the quarter.  Sequentially, we wanted to comment on two of the biggest factors that make up the difference between the Second Quarter and the Third Quarter. First, the biggest contributor, the inventory adjustments are behind us as anticipated. In addition, we're seeing greater price realization than expected. I'll note that while we sold some of the pandemic inventory that was previously written down, the impact of GP was immaterial.  We're encouraged by these results, and are confident in our ability to achieve our expected 40.1% GP rate in Q4 based on continued pandemic mix improvements, our expected price realization in the Fourth Quarter, and our ability to navigate supply chain challenges. Moving to our endless assortment segment, daily sales increased 12.7% or 14.9% on a constant currency basis, driven by continued strength in our new customer acquisition at both Zoro and MonotaRO, as well as growth of larger enterprise customers at MonotaRO.  GP expanded 115 basis points year-over-year, driven primarily by Zoro U.S. We took a number of pricing actions based on evolving market conditions and we de -emphasize lower margin channels. In addition, we experienced improved rate efficiencies to Zoro primarily as a result of fewer B2C customers who typically place smaller orders that are more expensive to ship. Operating margin for the segment finished up 80 basis points over the prior year third quarter, due primarily to improved gross profit margin.  I'll go into more detail on the next slide as we provide further transparency on the results for both businesses. Moving to Slide 13 in local currency and using Japan's local selling days, which occasionally differ from U.S. selling days, MonotaRO daily sales grew 17.5% compared to the third quarter of 2020. GP margin finished the quarter at 25.8%, 30 basis points below the prior-year third quarter, as we continue to grow with enterprise customers.  As a result, operating margin decreased 65 basis points to 12%. Switching to Zoro U.S., daily sales grew 11.9% as compared to the strongest sales quarter of 2020. Zoro GP grew 375 basis points to 33.9% and achieved 325 basis points of operating margin expansion. In addition to the strong financial performance in this segment, we also continue to execute well on our key initiatives.  First, when it comes to our registered users, we saw continued growth across both businesses, which is an important driver of top-line performance. And on the right, Zoro continues to actively add skews to the portfolio. At the end of the third quarter of 2021, we had a total of 8 million skews available online, achieving our goal for the year a quarter early. Adding nearly 2 million skews in the last 9 months. We remain encouraged by our progress with skew additions.  Once again, I would like to provide some color commentary as it relates to the fourth quarter and the full year. For the fourth quarter, for revenue, we expect total Company daily sales to be between 11.5% and 12.5%. We anticipate Company gross margin will fall between 37.2% and 37.4%. As discussed before, we expect the U.S. GP rate to exit the year at or above pre -pandemic levels.  And for SG&A, we expect a similar level of spending in the fourth quarter as we saw in the third quarter between 810 million and 815 million, with increased variable compensation, wages, and healthcare expenses. And while it's unclear at this point, we may have some additional risk as it relates to vaccine mandate costs. Given the strong performance in the quarter, we remain confident in our guidance range.  For the full year, we expect revenue to be at or above the midpoint, and all other metrics to be stronger than the low end of the range we discussed at the end of the second quarter, but likely still below the midpoint, given the pandemic inventory adjustments taken in the first half. With that, I'd like to turn it back to D.G. for some closing remarks. Thank you, Dee. Before I open it up for questions, I have just a few points.  First, I am immensely proud of the Grainger team and their commitment. It's been very challenging, but we continue to demonstrate the strength and resilience of our team and our supply chain. Second, it was a very good cut quarter across the board, the results were above our expectations. And finally, despite the current market and supply chain uncertainties, we are confident in our ability to deliver solid performance in the Fourth Quarter and into 2022. And with that, we'll open it up for questions.
Operator: Thank you. And at this time, we'll be conducting our question-and-answer session. If you would like to ask a question, please press one -- >  One moment, please, while we poll for questions. Our first question comes from Chris Snyder with UBS. Please state your question.
Chris Snyder : Thank you. So, my first question is on North America High-Touch growth relative to Zoro. Is it fair to assume that the Company prioritizes High-Touch volumes over endless assortment during periods of tight supply? just given the better margin and more important customers ally, stickier customers on the high margin side?
D.G. Macpherson : Thanks for the question, and the answer to that question is no. In terms of inventory position, we've been able to serve both the High-Touch model and Zoro well throughout this period. What I would say is that if you're thinking about Zoro's growth, there's a couple of things that are impacting Zoro 's growth rate in the quarter and they will get better as we move forward.  One was last year we opened up in the third quarter, the safety products to Zoro and as a result, customer acquisitions and revenue were extremely high and a lot of the customer acquisitions were consumers as well as people are just looking and scrambling to find product.  The other thing is we've been very clear and focused on attractive business acquisitions. And as a result, we have shut off some channels for acquisition that weren't as profitable long-term. And that's going away moving forward as well. And so that's been a bit of a drag on Zoro, but it hasn't been because we haven't been shipping product from Zoro. We've been serving customers well across both models.
Chris Snyder : I appreciate that. And then second question, I just want to talk about the mid-sized opportunity. Prior to the 2017 price reset, if I remember correctly, the Company had lost a lot of that mid-sized business prior to the reset, but it's coming back really strong up almost 20% in Q3. Can you just help us frame this opportunity going forward? Is there any risk around Zoro cannibalization? And then what kind of gross margin tailwinds could this bring to the Company?
D.G. Macpherson : Sure. That was a big part of the reason for resetting prices, was we had gone through a long period of decline with mid-sized customers. And here we're really talking about mid-sized customers that have some sort of mechanical complexity. So, think about mid-sized manufacturers or companies that really value some of the technical products support, search capabilities of the Grainger model.  Obviously, since the price reset, we've captured a lot of that back. We're still fairly significantly below our high point with mid-size customers. We feel like we've got a long runway ahead of us. We're getting smarter all the time. We're not seeing much cannibalization with Zoro. Zoro tends to focus on smaller businesses and businesses that are maybe a little narrower in what their needs are, and so they tend to segment to different types of customers more.  The Grainger midsize customer typically has fairly high mechanical complexity or complexity of some type. And so, we are really pleased with what we're seeing. I would say I think we went from 2 billion to less than 1 billion in that space over a 10-year period, and now we've covered some of that, we haven't covered all that, we think we can get back above 2 billion, so we think we've got a long runway ahead.
Dee Merriwether: And D.G., I would just add as it relates to contribution to gross margin. In the quarter it helped us about 10 basis points. And based upon the difference in the large growth rate versus the medium growth rate, if this around that amount, 10% versus 19%, 10% of gross margin, basis points improvement is reasonable.
Operator: Thank you. Our next question comes from Christopher Glynn with Oppenheimer. Please go ahead with your questions.
Christopher Glynn: Yes. Thanks. Congratulations on a good quarter. From the approximately 20% outlook for Endless Assortment for the year, it does imply pretty decent sequential ramp into the fourth quarter. I'm just curious, you've mentioned the Japanese economy. I don't know if you're seeing a pivot there right now. And you also mentioned the channel emphasis shifts at Zoro. Does that imply they're lapping or something?
D.G. Macpherson : Yes. Get it. Both of those things are correct. So, in Japan, they got a really slow start to vaccinations and had fairly hard shutdowns over the summer, and they've rectified their problem. They now have pretty high vaccination rates and we're starting to see more activity with larger manufacturing customers, in particular in Japan.  So, we are seeing some improvement there and expect to see that continue. With Zoro, yes, we have effectively lapped some of the actions we took to focus more on profit and customer acquisitions so both of those things should help us moving into the fourth quarter.
Christopher Glynn: Great. And then the price realization obviously came in better than you expected, as you said. You have a lot of freight contracts that have been good. At some point, those come out and you also at times in the past have had ability to defer costs increases from suppliers at times. So, I'm wondering how those figures in given that you've been really locked down really tightly on the gross margin view here and how it transpired. We in a sweet spot there as you pivot into '22 with some of those things I mentioned come into play?
D.G. Macpherson : Let me try to answer the question. We generally try to think about managing cost as well as we possibly can. We are obviously working with our suppliers on a constant basis in this environment to make sure that we are taking cost increases that makes sense and pushing back things if they don't make sense. Our spires have been great about working with us to find the right path for cost increases. And then on transportation, sort of the same thing.  We really are focused on understanding what cost increases are reasonable in working with our suppliers and our partners to get the right outcome. We priced the market. I think in general when you have inflationary periods, not this type of inflationary period but normal inflationary periods, we've historically probably been able to take market price increases and not have as much cost increase or have it delayed.  And so, we will sometimes have a period of advantage. I think right now given the pace of cost increases, I think we're pretty well matched and we'll continue to be pretty well matched. And that's our expectation given there has been a lot of off-cycle cost increases and we've been able to price this through as we go. I would say I don't think there's a big gap right now, or a big benefit right now. We're just -- it's a fairly wild time obviously in the supply chain, and we're -- I think we're navigating through it well.
Operator: Our next question comes from Ryan Merkel with William Blair. Please go ahead with your question.
Ryan Merkel: Thanks. Good morning. D.G., you mentioned that your navigating supply chain costs will create challenge as well. Can you talk about some of the actions that you took?
D.G. Macpherson : Well, you know, I guess the probably can't talk about all the details, but there's challenges at every stage of the supply chain at this point. And so, I think the amount of work that's required to navigate here is much more than you would find in a typical setting. One of the things we did do is we saw some challenges coming on the horizon, we actually pretty ordered a bunch of products early in the year, try to get inventory and we have been able to build some inventory throughout the year.  Maybe not as much as we'd like, but we have been able to build some inventory that helped us. Our supplier management team and product teams are working very closely together to find -- make sure we've got the right substitute products so we can serve customers if there's a gap in a particular supplier that can't provide us the product. We are actively prioritizing product coming off of Asia.  We have up-wages and distribution centers and gotten staffing right, so we are basically clean, consistently now, which is good. That was a little bit a bit of a challenge back in May. So basically, if you follow the supply chain view at every single step, we are working it every single step of the way. And there's really no other path right now but just to make sure we are executing as well as possible at using our agility and our scale to try to make sure we can service our customers, and we've done that well.
Ryan Merkel: Got it. Makes sense. Okay, and my follow-up is on SG&A leverage. I know in '21 you had costs returning and then of course higher costs from the supply chain issues. My question is, how should we think about SG&A leverage in '22. Are you able to have productivity offset higher costs or do you expect costs to ramp further off of the 4Q baseline?
Dee Merriwether: Well, I can take that D.G. Our focus right now is making sure that we can continue to serve customers well. Some of the rampage you've noted is due to some of the actions we took last year to really have tight cost controls around that time period. So when -- I think a good measure is probably to look at our 2019 costs and look at some of the SG&A leverage we have been able to gain over that time period since we haven't provided maybe real guidance related to 2022 yet.  But that's how we're focusing on it. And we are still looking to continue to gain leverage as we head into 2022. Very similar to what we were doing around 2019-time frame is the best I'd be able to tell you at this point in time. But we are not getting off the fact that we're focused on continuing to gain SG&A leverage over the longer term.
Operator: Thanks. Our next question comes from Deane Dray with RBC Capital Markets. Please state your question.
Deane Dray: Thank you. Good morning, everyone.
D.G. Macpherson : Morning.
Dee Merriwether: Good morning.
Deane Dray: Hey, good morning. I appreciate you gave price costs for the U.S. High-Touch Business. What was price costs for the total Company, if you can be specific or directionally? And then do you have a target for 2021 just given the circumstances in terms of supply chain pressures, inflation, etc.?
Dee Merriwether: Yes. Yeah. We don't measure EA on price, cost basis, so that's why you don't hear us talk about total Company price costs. But the thing I will say is, all of the segments and all of the businesses are very focused on 1, maintaining price competitiveness, and 2, in this inflationary period, being able to pass on cost to customers. So that is a consistent tenant for us, so that is what I can say. And the other thing I would say.
Deane Dray: Got it.
D.G. Macpherson : Deane, to your question, clearly Zoro had very high price costs leverage given the GP improvement. Like we said, some of that's just segment-specific, which customers they're acquiring and how they're thinking about acquiring it. But we do expect their most assortment to continue to have strong profitability and profitably improvement in Zoro.
Deane Dray: Appreciate that. And then as a follow-up just related to price, the 3% points in price and High-Touch this quarter, just what's the expectation for 4Q? Does that carry -- are there other price actions that you've taken? And do you -- was that -- will that all carry into 2022? Is there any sense of some pushback, receptivity issues in terms of pricing? Do we carry that into 2022 or not?
Dee Merriwether: We did take some pricing actions in September. And we saw some good results there, and also through the month of October thus far. So, we expect that momentum to carry us through Q4. And like always, D.G. mentioned our supply management team is continuing to work with our supply base on what increases look like for 2022. And we expect to continue. We do get more costs to pass that through early in Q1.
Operator: Thank you. Our next question comes from David Manthey with Baird. Please state your question.
David Manthey: Thank you. Good morning. As a percentage of sales gross margin and OpEx, I think will be very different in 2022 versus what they were in 2019. And the reason I mentioned that, Dee, you made a comment about leverage in 2022 being similar to 2019. Were you referring to contribution margins there? Or if you can just help clarify that statement.
Dee Merriwether: Sure. So was trying to get some contact since we are not talking about 2022 at this point, just to help you understand that we're focused on gaining leverage and back in 2019, we had set out a path to say that we were looking to continue to focus on growing expenses less than sales. So that's the tenant that I was trying to articulate since we are not giving guidance on 2022 at this point.
David Manthey: Okay, understood. And then as it relates to your pricing mechanisms, I think you talked before about the open pricing on the website. You can just adjust immediately, but could you talk about contract pricing and what I'm wondering is where are you being most effective in recapturing inflation these days? Is it just the low spot prices or is it surcharges or renegotiating contracts, how are you being so effective at this point?
Dee Merriwether: So, we are capturing price inflation in all areas. I would say with customers that primarily by on web price, and we've contract customers. Earlier in the year, we talked about the fact that it would be a little lumpy because of the timing as it relates to when we could pass on price with customers, but similar to some of the actions that D.G. articulated, that we are executing as it relates to supply chain.  That also goes for the commercial teams, as they are working with customers to pass on price. So, we're close to the end of the year now and a lot of those discussions that both our sales team and then online, we've been able to pass on these costs pretty effectively. So that applies to contract customers, as well as web-based customers.
Operator: Thank you. Our next question comes from Adam Uhlman with Cleveland Research. Please state your question.
Adam Uhlman: Hey, guys. Good morning. I guess I was wondering if you could share with us what you're seeing with your Keep Stock business, how sales have been unfolding there. And it would seem like you should be having better access in the customer side. So, I'm wondering if you could share any insights about new customer wins or any new initiatives recently or maybe what you have planned for next year.
D.G. Macpherson : Sure. We continue to -- the Keep Stock is really a critical portion of our business. It's been -- a portion of our business has been obviously busy throughout the pandemic. We've had access to all of our customer inventory, well, not all but the vast majority of customer inventory locations and have continued to serve customers well through Keep Stock. We have put in a number of improvements to help us be more effective in planning. customers inventory and fulfilling customers inventories to Keep Stock.  We continue to get significant growth out of Keep Stock. Certainly, heavy manufacturing has come back this year. It's been very, very good for our Keep Stock business and that because of the heavy Keep Stock area. I won't talk too much about what we're investing in, other than to say we are investing significantly in improved software capabilities to enable us to provide better service to customers and better analytical insights to customers. And that's going to be a continuous focus for us around the Keep Stock area.
Adam Uhlman: Okay. Got it. Thanks. That's helpful. And then, Dee, I think you had mentioned vaccine mandate costs, and I believe that there's some element of -- with the G&A contract, there might be a requirement for vaccination. Could you just help me understand what all that might mean for Grainger and the potential cost for the business?
D.G. Macpherson : Do you want -- I'll take this one. This is a kind of challenging one in many ways, we are certainly a federal contractor. We will comply with G&A order. We have planned in place to comply with that. I would say the OSHA ruling, and how that comes down, is probably more of a question mark in terms of vaccine mandate cost. We are ready to do what we need to do, and prepared to do whatever needs to happen. We are hopeful that the vaccine mandate is done in a way that doesn't hurt the supply chain.  I've been in our transportation depo's and our facilities and our customers' facilities and a vaccine mandate that's not well thought through could cause significant problems to an already challenged supply chain. And so, we are -- we don't know where all that's going to land just to be clear. But we are prepared and we've done some things to prepare for any eventuality there and trying to understand what the best path forward is going to be depending on how  vaccines go.?
Operator: Thank you. Our next question comes from Jacob Levenson with Melius Research. Please state your question.
Jacob Levenson: Good morning, everybody.
Dee Merriwether: Morning.
Jacob Levenson: Just wanted to -- you guys have a pretty clean balance sheet at this point and DG and I are new. When you took the helm a couple of years ago, you flexed up a little bit, and that's more aggressive buybacks. So maybe you can just help us think for higher look in the balance sheet today and maybe secondarily to that, whether M&A could play a role over the next couple of years.
Dee Merriwether: This is Dee, I'll start off. We like our credit rating, of course, and we don't see any big changes related to our capital allocation strategy. We did provide guidance that from a share buyback, we thought we would be somewhere between the 600 to 700 million range for the year. And we think we're going to be at the high end for this year. And so no real, I would say changes to our philosophies that we've had in the past, that's working well for us.
Jacob Levenson: Okay. That's helpful. And then maybe this is a bit of a   something that we don't -- doesn't get a lot of airtime is maybe you can help us understand that are how the -- how that business is doing and how the turnarounds were going on the update there.
D.G. Macpherson : Maybe --
Dee Merriwether: D.G. you want to start?
D.G. Macpherson : I'll just get past it. Cromwell is a relatively -- it's obviously not a huge business for us, but it's an important one in terms of understanding whether we can get the growth we need to get in the U.K. I said, UK market has been challenged. Team's done a nice job of improving service and serving customers through this time. They have over the last few years, they will consistently lower the loss.  And we feel like it's a business that has a potential to be a strong contributor from a profit perspective over time. But we still have some work to do. But I would say that they've reset their cost structure, they're providing great service to customers, and they have lowered their losses over the last few years. And we would expect them to show profitability coming out of 2022.
Dee Merriwether: The only thing I'd add there is that on the quarter, Clan well was able to cut their losses year-over-year, and we expect them to come close to cutting them in half, which is what the focus has been, year-over-year.
Operator: Our next question comes from Hamzah Mazari with Jefferies. Please state your question.
Hamzah Mazari: Good morning. Thank you. My question was just around Zoro U.S. Maybe just talk about the competitive dynamic in that market. I know its smaller customers online-only et - cetera. But just maybe talk about who you're competing with there. And then I guess you have 8 million skews. Where could that skew count goes eventually?
D.G. Macpherson : Well, so on the second half of that question, we have 8 million skews today, we would expect to get to 10 million in the next couple of years at a minimum. And whether or not it goes to 15 or more is probably still open for debate, but we know we've got a long way to go to get the skew count t right. In terms of the competitive market, it's really very, very broad online. It's big Internet players. It's certain marketplaces.  Customers sometimes buy through smaller local retailers as well. And so, there's a very broad competitive set when you look at small businesses and how they buy, sometimes they buy through hardware stores.  And it's pretty fragmented today and there's a lot of different options for small businesses to buy MRO products. And so that market in particular super fragmented. And so, we feel like we're growing and gaining share from a number of different sources, but it's not like there's one or two players that are dominating that space, it is very, very broad in terms of competitive set.
Hamzah Mazari: Got it. And my follow-up question, I'll turn it over just on achieving pre -pandemic gross margin s in the U.S. business exiting this year. I know you've talked about price realization, you talked about inventory adjustments, etc. But maybe just talk about the confidence level there and what could go wrong for you not to achieve that? I know we are already in the fourth quarter, so there's two months left or whatever, so any thoughts there would be helpful. Thank you.
D.G. Macpherson : Go ahead, Dee.
Dee Merriwether: Yeah. What I would say is, we're pretty confident, and that's why we continue to focus on showing you where we've come from and where we're going in the decks, and continue to talk about it.  But the two biggest factors that really give us confidence is the product mix. Where we are versus last year, we were at -- in the U.S., we were at 28% on pandemic, and now we're at 22% and trending as we would expect. And then price, which we've talked quite a bit about here today. So, I noted earlier that we implemented some price increases in September, and the realization in September and October is looking good.  We expect that to continue through the fourth quarter, and we expect it to cover costs that we have visibility to. And as it relates to anything else related to supply chain challenges, D.G. talked a lot about that. We are very focused on it and we believe our scale puts us in a unique position to deal with some of those challenges today. We have good availability and we're managing the cost process well, so I think we're pretty confident.
Operator: Thank you. Our next question comes from Chris Dankert with Luke Capital. Please go ahead with your question.
Chris Dankert: Hey, morning. Thanks for taking my question. I'm just thinking about the Endless Assortment business here. Again, 20% growth over the medium-term, aggressive -- very impressive growth, but I guess, strategically what's the biggest bottleneck to growth in that business? When given the scalability of digital, if it is simply customer awareness and engagement, which obviously takes time, but what -- why couldn't that be 30% or something even higher at this point?
D.G. Macpherson : Yeah, I think if you look at the long history of MonotaRO you start to understand the limits. Obviously that business has gone from nothing to over $2 billion and has a very long history of growing very, very quickly. But 20% has been a number that they've been at for a long time.  Most of that has to be -- is really about making sure that you have the process' systems in place to acquire attractive small business customers or business customers. And then you have to work very hard to get them to repeat and to become regular purchasing customers. And that is not something that throwing a whole bunch of money at necessarily helps.  You've got to be very targeted in how you're acquiring customers and you have to be targeted about how you're working in identifying what segment they're in and what matters to them so that you can actually get the growth that you want to get. So, it isn't an easy thing. It is a scalable business for sure, but our experience has been that the team's ability to build the capabilities, learn, and have high-quality growth, limits you at about 20% in many cases. And we've seen that through 
David Manthey: That's very, very helpful. Thank you. I guess, again, fairly sizable investment in that business this year. As we go forward, just how do we think about SG&A growth in that business. At this point, is it principally advertising analytics spend, or is there -- do we need any additional, kind of physical assets there? Just how we think about SG&A growth in Endless Assortment?
D.G. Macpherson : Yeah. I would say -- I would have different answers to MonotaRO and Zoro. Zoro, it's mostly around marketing data analytics systems. They've built much of their own system infrastructure now they continue to invest in systems.  The investments aren't huge physical assets in Minoterie, we have that plus you have given their growth and their size, they're going to be investing in the next 3 to 4 years, 5 years in pretty significant distribution center efforts as well. While we don't talk about that much, they have been exceptional actually building physical assets to serve their customers and they have more of those investments that they will make over the next 3 to 4 years.
Operator: Our next question comes from Josh Pokrzywinski with Morgan Stanley. Please state your question.
Josh Pokrzywinski: Hey, good morning, guys. Well, just a first question on I guess kind of the competitive benefit of just having a better supply chain and some of your smaller competitors. How do you go about ensuring that the share you've picked up on that converts at some reasonable level to something permanent and like?  It just means you can point to in the past, maybe even the pandemic-related stuff in terms of like converting those marginal customers or stop by customers and something more structural like, how is -- what's your approach been like on that?
D.G. Macpherson : Yeah, it's a great question. I think the reality is that when you are out served customers that becomes a pretty sticky growth. It always has been in our business. And so, when you're able to have better service than the market in general, typically you see a fairly long-time horizon when you can continue to grow.  Right now, I'd say our customers are having all conversations with us about the sustainability of the supply chain, and how we can leverage our capabilities to help them grow into the future. It certainly doesn't feel like this is a one and done advantage. It feels like people are trying to figure out how to make sure that they can function really effectively going forward, or having all conversations about how to help customers lower their processing costs, improve their inventory management, the core things that we typically work on with customers we are really engaged with right now.  So, I would just say that we feel like certainly there'll be some of this -- we talked about that last year, having pandemic products, some of our very outsized share growth last year was not going to repeat. But the 475-basis point per year share growth feels like that's repeating. And it feels like it's sustainable in terms of the volume that we've captured as sustainable.
Josh Pokrzywinski: Got it. That's helpful. And then I appreciate the color on the inventory repricing and above one-for-one or matching that in real - time, not a lot of temporary benefits. But maybe just looking at the other side of the equation with some bigger customers on contract, how are you keeping up with the price cost equation there? Is it getting a little bit more kind of exotic with things like surcharges? And then what are you anchoring that sort of stuff to? Because inflation feels a little bit more unusual than just like pay steel is higher, everything is higher and not every product category has the same pain points. So how are you managing with that, when customers that are maybe on a bit more long - term contracts or tend to be a little bit more inflexible on price?
D.G. Macpherson : Dee, do you want to take that or let me --
Dee Merriwether: Yes. I was about to jump in Sorry. I'm not seeing a big difference between customers. I would say at this point, I think especially during this time our product availability is really what is at the forefront of some of our relationships, whether you are midsize, large local or large contracts. In addition to the things that D.G just noted related to the way we serve customers in a multichannel way, right now, I think there's also boarding very well for us.  In addition to how easy it is for them to find the products on our website, which time is money for a lot of these customers. Right now, they are dealing with a lot of challenges, like we are experiencing, and I think that availability is what's really making the big difference. Even for large contract customers, there is some inflexibility in some pricing, but we do have more flexibility right now than I would say we've had of late.
Operator: Thank you. Our next question comes from Nigel Coe with Wolfe Research. Please state your questions.
Nigel Coe: Thanks. Good morning everyone. Wanted to ask a short-term question and then a more strategic question. But last quarter, you were pointing towards the low and the margin range anyway. Now you're pointing towards the low-to-midpoint.  So, I'm just curious. I think I know the answer, but I'd be curious D.G, Dee, what's changed from your perspective from July to now? And I'm specifically interested in whether pricing has been stronger, whether the retention on pricing has been stronger, that surprise is the upload.
Dee Merriwether: You just said it there at the end, Q3 was better than what we expected. We had improved mix and improved price, and that favorability of flooring through the full-year EPS for us. And revenue, that volume coming through with that price was better than what we expected.  And so just to reiterate the total Company expectations, we've  that through to talk to you about where we expect to be on a four-year basis, Revenue being stronger and so then we said that we're going to be at the midpoint of the range there. And then for everything else, I reiterated that at least with these results, that we would be low end up to the midpoint. We've tried to pull in the improvement that we saw in Q3.
Nigel Coe: And the pricing part of that question is that being surprisingly good?
Dee Merriwether: Yes, price realization is better than we would have expected at this point.
Nigel Coe: Okay, that's great. And then the medium-sized customer growth market share gain strategy, the inside sales will be a very important part of that strategy alongside the repriced initiatives. So just curious, maybe just give us an update, DG, on what's happening with the inside sales force and some of the metrics around that and whether you've been investing in that capability.
D.G. Macpherson : Sure. I would say that inside sales have -- have had a really nice bounce - back this year. They cover ed customers last year, obviously, some of which have been struggling. But we've seen a really nice revenue path with inside sales. One thing I would point out is that during the pandemic, we have been fairly locked in our coverage. And the reason is we wanted the relationships to be stable as customers went through the pandemic.  And so, we haven't invested a lot more, and we haven't invested any less. In inside sales, we consider it to be an important part of our future, and we've liked the results we've had. But given the pandemic, we haven't really changed coverage anywhere during the pandemic. We're talking about adding some coverage, potentially in the future. But we'll talk about that as we head into the future. But so far, it's been a very stable and nice growth path for us this year. The inside sales team.
Operator: Our next question comes from Patrick Baumann with JPMorgan. Please state your question.
Patrick Baumann: Hi. Good morning. Thanks for taking my question. First one is on Zoro gross margin. I thought that the view here was that Zoro was going to face some mix headwinds over time from more third-party products. And I could see the skews have gone up a lot in that area. Is that still the case? Or is this like shifts in customer channel enough to offset that such that gross margin there can actually improve?
D.G. Macpherson : Well, yeah. I mean, I think what you saw is that the shifts we've made in terms of how we're acquiring customers and focusing on acquiring really strong business customers, has helped gross margin more than the third-party shipping has had it.  Third-party shipping will be a small drag we think over the next several years, as it becomes a bigger portion of the mix, but we still think we've got ways to continue to improve gross margin. We've seen that this year in the hold, whole gross margin closer to steady moving forward.
Patrick Baumann: How biggest is third-party shipping now as a percentage of mix, or whatever?
D.G. Macpherson : What's that?
Patrick Baumann: As a percentage of scales, I guess or wherever you want to talk about?
D.G. Macpherson : It's a growing portion of sales. I don't think we typically talked about that number. We'll probably talk about that at the end of the year when we talk about the path moving forward.
Patrick Baumann: And then a quick one on receivables. Can you just talk about the comment in the release about like that $268 million of growth being driven by growth in credit sales? Is that a change in how things are normally done? I just -- I'm asking because I don't recall seeing that language from you before. Maybe I've missed it.
Dee Merriwether: Yeah, it's not a change. It's just in relation to the fact that our sales are up and as a result of that, that's driving accounts receivable up as well.
Patrick Baumann: Okay, great, thanks.
Operator: Thank you. Our next question comes from Michael McGinn with Wells Fargo. Please state your questions.
Michael Mc Ginn: Hey, just a quick one for me. Do the majority of your contract’s re-price at a certain time like calendar year-end or are they're kind of staggered throughout the year? And what percentage of your contracts have yet to reset at the new pricing?
D.G. Macpherson : Contracts can be of different durations. They can be 1, 2, 3, 4, 5 years. I'd say 3 years is a more common version. But in general, when we set contracts, we set specific times, multiple times a year, when we can alter price either up or down based on market Conditions. So most of our contracts have the ability to reset price multiple times during the year. 3 times a year is the most common number of times you can reset price.
Michael Mc Ginn: Thanks.
End Of Q&A :
Operator: Thank you. And there are no further questions at this time. I'll turn the call back to A - D.G. Macpherson for closing remarks.
D.G. Macpherson : Great. Well, thanks everybody for joining us, we really appreciate it. Hopefully you can tell we feel good about the quarter, but more importantly, I think we feel good about how we're growing, how we're gaining share, our ability to navigate the supply chain issues, and still continue to invest in core initiatives that we think are going to be important to our long-term success. So, we feel really good about the path forward as well. Wish all of you a safe Halloween, and look forward to talking to you soon. Thanks so much.
Operator: Thank you. This concludes today's conference; all parties may disconnect. Have a good day.